Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q2 2020 ServiceNow Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ms. Lisa Banks, Vice President of Finance. Thank you. Please go ahead, ma’am.
Lisa Banks: Good afternoon and thank you for joining us for ServiceNow’s second quarter 2020 earnings conference call. Joining me are Bill McDermott, our President and Chief Executive Officer; and Gina Mastantuono, our Chief Financial Officer. During today’s call, we will review our second quarter 2020 financial results and discuss our financial guidance for the third quarter of 2020 and full year of 2020. Before we get started, we want to emphasize that some of the information discussed on this conference call, particularly our guidance, is based on information as of July 29, 2020, and contains forward-looking statements that involve risks, uncertainties and assumptions, including those related to the continued impacts of COVID-19 on our business and global economic conditions. The forward-looking guidance we will provide today is based on our assumptions as to the macroeconomic environment in which we will be operating. Those assumptions are based on the facts as we know them today. Many of these assumptions relate to the matters that are beyond our control and changing rapidly, including, but not limited to the time frames for and severity of social distancing and other mitigation requirements, the continued impact of COVID-19 on our customers’ purchasing decisions, and the length of our sales cycles, particularly for customers in certain industries. Significant changes in the future could cause us to modify our guidance higher or lower. Please refer to the press release and risk factors and MD&A in our SEC filings, including our 2019 10-K and our 10-Q that will be filed for Q2 2020, for information regarding such risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such forward-looking statements. We’d also like to point out that the company reports non-GAAP results in addition to and not as a substitute for, or superior to, financial measures calculated in accordance with GAAP. All financial figures we will discuss today are non-GAAP, except for revenues, net income and remaining performance obligations. To see the reconciliation between these non-GAAP and GAAP results, please refer to our press release filed earlier today, our investor presentation, and for prior quarters, previously filed press releases, all of which are posted at investors.servicenow.com. A replay of today’s call will also be posted on the website. With that, I would now like to turn the call over to Bill.
Bill McDermott: Thank you, Lisa, and good afternoon, everyone. Welcome to our Q2 2020 earnings call. Let me begin by extending my hope that you and your loved ones are healthy and safe. This COVID environment continues to create challenges for many, and we continue to support our stakeholders, our employees and customers in every way possible. Before getting into our strong results, here are a few trends shaping the overarching environment for ServiceNow. This unprecedented environment is breaking physical supply chains. It is exposing the weak links in the old value chains, illuminating how companies struggle cross-functionally to deliver the workflows that create great experiences for customers, employees and partners. The world is experiencing a seismic shift from the obsolete business process evolution to the new workflow revolution. CXOs are using the Now Platform to create new workflows or new value chains, transforming experiences across siloed systems and functions across the entire enterprise. ServiceNow is the strategic authority for workflow. We are trusted sea suite innovator. We multiply the value of existing technology investments. We deliver exceptional time to value, and our customers understand the business continuity and resilience that the Now Platform enables. Driven by these factors and many others, we couldn't be prouder of our very strong Q2 performance. We beat expectations, beating consensus and guidance and became a $4 billion run rate cloud company. We're raising our topline and operating -- and free cash margin guidance for the full year for 2020, which Gina will provide more detail on shortly. We are delivering safe workplace product innovation in two-week cycles, helping our customers succeed and keeping their employees healthy and safe in these unprecedented times. ServiceNow is a growth company. We are becoming even stronger on our journey to $10 billion in revenue and beyond. We remain totally focused on our ambition to be the defining enterprise software company of the 21st century. Let me share some additional perspective on how we are supporting customers. CEOs and management teams are focused on protecting revenue, improving productivity and ensuring business resiliency. This has turned digital transformation into a business imperative across all industries. ServiceNow is on the front lines of getting companies reopened. We are helping employees get back to the workplace safely. In May, we launched our safe workplace application suite and dashboard. Our engineering teams continue to deliver product innovations every two weeks. These are real products with an architecture that makes it easy to connect employee health data to their employee badges to ensure safety and security in the workplace. More than 550 organizations worldwide have downloaded our safe workplace suite, companies such as Uber, Coca-Cola European Partners and Bank United are using the apps and dashboard to return to the workplace safely. This is the power of the Now Platform, the ability to move fast, be agile, solve problems quickly with low-code, no-code app development, create new workflows that deliver great experiences. We're helping our customers solve for once in-a-generation challenges, even as they capitalize on the opportunities of digital transformation because we offer one platform, one data model and one architecture. Customers see the Now Platform as a smarter way to workflow. Gina will share our full financial results with you, but here are some highlights from another quarter in which ServiceNow outperformed. Despite the COVID headwinds, we closed 40 deals greater than $1 million in ACV this quarter. We now have 964 customers paying us more than 1 million ACV annually. Our linearity was strong. Our renewal rate remains best-in-class at 97%, demonstrating ServiceNow resilience. Q2 deals underscore the strength of our product portfolio. 18 of our top 20 deals included three or more products. Customer examples include Equifax, the Commonwealth of Pennsylvania, and the State of California. Our core business remains ever strong, with continued momentum in ITSM Pro and growth in risk and security, especially as enterprises focus on business continuity. ITSM Pro led eight of the 10 ITSM deals, delivering customers increased automation and operational resiliency. ITSM was included in 17 of the top 20 deals, 15 of the top 20 deals also included security. We did our largest ever risk deal with Providence Health & Services, which has 51 hospitals, 121,000 employees and 800 non-acute facilities. As a heavily regulated business, Providence is partnering with ServiceNow to manage risk, and improve productivity across their business. Employee experience is more relevant than ever. Our HR business now continues to be strong with over 750 customers, in Q2, we had eight deals that were greater than $1 million. For example, the Commonwealth of Pennsylvania is using ServiceNow to improve efficiency of their HR shared services and to increase employee engagement. They are enhancing employee communications to support their telework initiative. Goldman Sachs, a long time ServiceNow ITSM customer became new HR customer in Q2. They are using our HR products to provide a more consistent employee experience and to drive cost savings. Creating the best experiences and rapidly scaling digital services matter now more than ever. This is driving momentum in our customer service management business. We have more than 50 customers spending more than $1 million in ACV annually. We are delivering great consumer-grade customer experiences powered by industry-specific workflows. Our Zoom partnership is a great customer example. Zoom's usage rocketed 30 times in 4four months. 30x increase. They're now up to 300 million daily meeting participants. ServiceNow CSM solution is enabling Zoom to scale its customer service operations, providing critical communication capabilities for its rapidly expanding global community. CSM also provides proactive case management and personalized self-service options to help Zoom manage the influx of customer requests. We're proud that Zoom chose CSM and the Now Platform to help manage its exponential growth. Zoom also is using our AIOps capabilities to enable its new hardware as a service business model. Thank you, Zoom. Underlying every one of our products is the Now Platform, the platform of platforms. Let me share some examples of how the Now Platform and products translated into strategic customer wins this quarter. A great example is the U.S. State Department. They use the Now Platform to create a dozen apps in just three weeks, tracking COVID requirements for every country on the planet to keep employees traveling safely. With JPMorgan, we closed our largest IT business management and our largest DevOps deal ever. As they consolidate their ITSM, they are improving their employee experiences, leveraging advanced workflows and Intelligent Automation. We're honored that JPMorgan Chase, selected the Now Platform to drive their digital transformation creating great employee experiences and increasing productivity. Fiserv, a global fintech leader, recently completed a merger and need to consolidate systems and processes to gain greater visibility of their assets. Using the Now Platform, they can now gain visibility and insight into the newly combined infrastructure and their emerging dependencies. This reduces time to resolution, improves customer experiences and reduces OpEx, all while proactively providing better services to their customers. We're also now working with the State of Montana to automate their citizen workflows. With COVID, they needed to evolve face-to-face citizen interactions to remote services. They also wanted to reduce the cost and complexity of asset management across multiple agencies, while maintaining data privacy between all of them. It was our ability to provide a single enterprise platform to service all of Montana's agencies that earned us their trust and their business. ServiceNow is partnering with the world's largest brands. Disney is another example of how the Now Platform driving business model innovation. Ann Schmittm VP and CIO of Disney Streaming Services joined me as part of my keynote during our Knowledge 20 experience with the support of ServiceNow CSM workflows, Disney Plus quickly grew to more than 55 million subscribers in just a few months after launch. During the Knowledge keynote, then share has ServiceNow provided Disney. And I quote, 'an extremely flexible and extensible platform that allowed them to develop a best-in-breed customer health center and best-in-breed tooling for their agents to support their customers around the world.' These customer stories and so many others, are why the industry now understands the magic of a Now Platform and the strength of our core business. Top IT analysts firms that named as a leader in three new markets to ServiceNow, CSM, DevOps and Software Asset Management. We also are honored to be named the overall digital innovation award winner by Ventana Research. Every company has had to pivot in this new environment to continue to engage customers in meaningful ways. I am incredibly proud of how our team quickly pivoted knowledge from a four-day physical event that was scheduled to be held in Orlando, to a six-week digital experience that brought ServiceNow community together worldwide. And listen to this. We reached almost twice as many people globally this year when we did at Knowledge 2019. We also delivered more than 820 hours of content, including 1,100 customer-led sessions and breakouts, building a strong pipeline. As our traction continues to grow, our ecosystem continues to strengthen, our partners play a critical role in accelerating customer digital transformation. For example, we recently announced an expanded alliance with Deloitte, to help customers accelerate their HR service delivery efforts, and to provide employees with exceptional digital experiences anywhere. With customer loyalty and our growing ecosystem, we are increasingly part of digital transformation conversations that give us absolute confidence in our business model and our strategic relevance with customers. Our innovation is inspired by solving the needs of customers across geography, industry and persona, as we shape the workflow revolution; our best ideas are ahead of us. Our overarching focus is clear: innovating for customers as we scale ServiceNow to $10 billion and beyond. Our strong management team and our 12,000 employees will enable us to achieve our bold ambitions. To continue driving our growth today, we are announcing the next evolution of our already outstanding go-to-market organization. We are leveraging our tried, true and proven executive talent to continue our strong momentum. Effective immediately, Kevin Haverty is named Chief Revenue Officer, as he continues leading our global sales organization. Kevin has been with the company for nine years and has been leading our sales organization for the last six years. He's owned the number the whole time. Lara Caimi is named to the new role of Chief Customer and Partner Officer, leading all customer success programs and the development of strategic partner activities. She joined ServiceNow in 2017 as Chief Strategy Officer and has led nine acquisitions. They will both report directly to me. I'm really excited. We also recently welcomed Paul Smith, as Senior Vice President and General Manager of our EMEA business, which, by the way, just reached a $1 billion revenue run rate. Joining us from Salesforce, he has a track record for triple-digit growth. Paul is a great example of how ServiceNow is attracting premier talent worldwide. We are fast becoming the employer of choice for our industry's best talent. Before closing, I want to take a moment to honor David Schneider. David has decided to retire at the end of 2020, after a stellar nine years at ServiceNow and more than 35 years in the industry. David Truly has earned the right to step away and began a new personal chapter in his life. David epitomizes our purpose and values. It has been a tremendous honor to work so closely with such a beloved leader. He is ServiceNow family. He always will be, and I wish him the very best in his retirement. David will remain President Emeritus and an adviser to me until the end of the year. In summary, we are ServiceNow strong. In extraordinary times are born extraordinary opportunities. In this once in a lifetime moment, we are at the top of our game. Our people are rising up to seize the opportunities before us. I’m incredibly proud or our culture, our focus, discipline and execution. ServiceNow people have never been more engaged, more focused on serving the enormous names of our customers. Our partners are with us. The ServiceNow ecosystem is truly thriving. Our brand continues to resonate, and we are creating greater awareness and relevance with the C-suite. I constantly hear how people deeply connect to our brand and the humanity of our purpose. Ladies and gentlemen, ServiceNow is special. We're leading the workflow revolution, which leads the future of our business. Now workflows on the Now Platform. The opportunity has never been greater. We will fulfill our purpose to make the world of work, work better for people. We’re hungry, we're humble and we're taking nothing for granted. We’re on the move to our destiny to become the defining enterprise software company of the 21st century. Thank you very much for your time and attention today. I look forward to your questions. Now I'll turn the call over to Gina. Gina?
Gina Mastantuono: Thank you, Bill. Q2 was another exceptionally strong quarter for ServiceNow despite the macroeconomic headwinds created by COVID-19. We exceeded the high end of our subscription revenues and subscription billings guidance, while continuing to drive margin expansion and very healthy free cash flow. Q2 subscription revenues were $1.016 billion, representing 32% year-over-year constant currency growth, making ServiceNow a $4 billion revenue run rate company, a milestone on our way towards $10 billion. Q2 subscription billings were $1.018 billion, representing 26% year-over-year adjusted growth, driven by solid execution from our sales team. Remaining performance obligations, or RPO, ended the quarter at approximately $7 billion, representing 31% year-over-year constant currency growth. And current RPO was approximately $3.5 billion, representing 32% year-over-year constant currency growth. Top line strength in the quarter was driven by continued expansion of our existing customers. Our best-in-class renewal rate remained at 97%, demonstrating the resilience of our business as the Now Platform remains a mission-critical part of our customer’s operations. Our sales teams continue to win large deals in the quarter. As Bill mentioned, we closed 40 deals greater than $1 million in ACV, an increase from Q1. What's more, the average size of those deals was bigger than any quarter over the past year, and Q2 was our first quarter in which we closed two deals over $10 million, all during a challenging time for our customers. Turning to profitability. Q2 operating margin was 28%, up over 900 basis points year-over-year, driven by our subscription revenue outperformance, as well as lower expenses due to COVID, including approximately two points of savings of Knowledge 2020 moving to a digital-only format. Our free cash flow margin was 24%, up 100 basis points year-over-year, driven by our strong operating margin expansion, partially offset by higher CapEx and an increase in DSOs. Together, these results demonstrate the strength of our business model and our ability to drive a balance of growth and profit. Before I move to guidance, I want to give a brief update on how COVID-19 is impacting our business. The highly affected industries we outlined in Q1, which represent about 20% of our business and include areas such as transportation, hospitality, retail and energy continue to hold up well in Q2 as renewals of existing customers remain strong. We also closed big deals in spite of the macro headwinds these enterprises face. Now more than ever, they recognize the importance of digital transformation and the quick time to value ServiceNow can deliver. We closed five deals over $1 million from verticals, including oil and gas, transportation and health care. We also won a large security deal with a U.S. based multinational hotel chain, a customer and one of the most impacted industries. As Bill mentioned, the workflow revolution is underway, and we've adapted our go-to-market playbook to focus on the things that matter most to our customers. When speaking with customers, they recognize the strategic relevance of Now workflows on the Now Platform, one platform, one data model and one architecture. This has kept our pipeline generation very healthy. Our coverage ratio today is better than at the same time last year, giving us high confidence in the second half of the year. The great thing about our business model is that it is resilient and predictable. We have a robust backlog, and we generate 80% of our new business from existing customers that understand ServiceNow is mission-critical. With these attributes and our visibility into the pipeline, we feel confident executing our plans. As a result, we are raising guidance for the full year 2020. We are raising our subscription revenues range to between $4.185 billion and $4.2 billion, representing approximately 29% to 30% year-over-year constant currency growth. This range reflects $18 million tailwind from foreign exchange versus our previous guidance. We are raising our subscription billings range to between $4.66 billion and $4.7 billion, representing 24% to 25% year-over-year adjusted growth. This range reflects a $22 million tailwind from foreign exchange versus our previous guidance. We continue to expect 2020 subscription gross margin of 86%, and we are raising our full year 2020 operating margin from 23% to 24%. This reflects additional savings from travel expenses and the transition of our Q4 Now at work events moving to digital experiences. Many of our learnings from working remotely will have lasting effects on our overall efficiency, giving us the agility to redeploy savings elsewhere. Importantly, we are a growth company with a lot of runway ahead of us. As we continue to feel confident about the long-term opportunity in path to $10 billion in revenue and beyond, we will continue to invest in strategic areas such as R&D and go-to-market. As always, we will be disciplined as we evaluate our investments to ensure we generate the greatest ROI possible. Turning to free cash flow. We are raising our full year 2020 free cash flow margin to 29.5%, reflecting the increase in our operating margin, partially offset by a decrease in collections due to expected DSO increases. We remain committed to helping our customers manage through this challenging time. And when required, we've taken measures to provide greater payment flexibility. Turning to Q3. We expect subscription revenues between $1.055 billion and $1.06 billion, representing 26% to 27% year-over-year constant currency growth. We expect subscription billings between $995 million and $1.015 billion, representing 16% to 18% year-over-year adjusted growth. I would note here that the seasonality of our billings has changed this year due to shifts in the timing of renewals. About $18 million of billings was pulled into Q2 from Q3, and we also expect a proportion of Q3's historical invoicing mix to shift into Q4. I want to be clear, the change in billing seasonality reflects the timing of invoices only, not any changes in the trends of our business. As customers expand their purchases of ServiceNow's products, they often realign the new contract to co-terminate with existing contracts. These changes only affect the timing of our billings and do not impact our revenue expectations. Moving on to profitability. For Q3, we expect a 22% operating margin, which includes some spend that shifted from Q2 to Q3 and increased investment, as we continue to develop pipeline based on the opportunities we are seeing. As a management team, we were very prudent about marketing spend entering into our full first COVID quarter in Q2. However, the outstanding execution we've seen from the team, including the success of Knowledge 2020 as a digital event, has demonstrated our ability to get great returns on our investments. Finally, we expect third quarter and full year 2020 diluted weighted average outstanding shares of 199 million and 198 million, respectively. In summary, as we continue to navigate through this unprecedented operating environment, a few things have become clear. Digital transformation is accelerating as companies react to unexpected disruptions and reimagine the future of their business. ServiceNow is the strategic workflow authority at the epicenter of this digital transformation. Customers need us more now than ever, and the organization is galvanized to deliver. The power of the Now Platform has become self-evident to customers. Our customers are innovating on the Now Platform to meet their crisis management, business continuity and productivity needs. We have a world-class management team and the right product portfolio to weather the short-term COVID challenges. We will continue to help our customers evolve, and we'll emerge from this crisis an even stronger and better company. We're in a very strong financial position, exiting Q2 with $7 billion in RPO and E&A strong net cash position of $2.4 billion. We have never been prouder of our employees and their continued focus on serving our customers, partners and communities. Our Hungry and Humble culture is stronger than ever and we can’t thank our employees enough for their hard work and dedication. With that, operator, we’d like to now turn over the call for questions.
Operator: [Operator Instructions] And your first question is from Kash Rangan of Bank of America.
Kash Rangan: [Technical Difficulty] for you, Gina and one for you, Bill, if I could. Gina, can you just expand a little bit about the -- on the seasonality of billings? So this is something that ServiceNow has not typically experienced. To your point, your credit, clearly, the CRPO number is rock solid, so is the subscription billings. Just if you could dig a little bit deeper into the emerging seasonality of billings, that would be great. And, Bill, a question for you. Once we come out of this pandemic, what does the demand picture look like for ServiceNow? Are we back to -- in some sense -- some investors are concerned this might be pulling in accelerating spend because of the pandemic, but do you really agree with that and what does the shape of those post-pandemic demand picture look like for ServiceNow? Thank you so much and congratulations.
Gina Mastantuono: Thanks, Kash. So the seasonality of our billings is changing a bit this year due to shifts in the timing of certain renewals. As I talked about in my script, some customers are realigning their new contracts for additional products to co-term with existing contracts. As a result, we expect the proportion of Q3 historical billings mix to now land in Q4. As I also previously mentioned, we saw about $18 million of billings shift out of Q3 and into Q2 due to the timing of renewals. If you add those points back to growth, you'll get a more normalized 20% plus, which puts us at the midpoint of the current consensus. So as again, I want to note, these changes only affect the timing of billings and do not impact revenue expectations or business performance at all.
Bill McDermott: And Kash, thank you very much for your question and your very nice comments. Post pandemic, ServiceNow gets even stronger. And the reason for that is our customers have less limitations around them and their businesses. So you should feel very bullish about our company. Our $10 billion aspiration way beyond that. Here's what I see. The platform, the Now Platform is resonating everywhere. The ecosystem looks at it as a cross-platform integration engine, because there are so many siloed systems out there from the 20th century system of record. We don't compete with them, we simply make them better, so they layer in the Now Platform and enable business operations to execute even without having to change and redo their systems of record. So, that’s a big tailwind and the ecosystem all has multi-billion plans around ServiceNow, and there'll even be very large tech companies that will declare that very soon. On ITSM Pro, we're only 15% penetrated cash, and that is absolutely paradigm that will have 100% penetration. Employee experience, the simplicity of the employee experience has become not just a CHRO, but a CEO imperative because the war for talent is only going to get greater, not less. Premium talent is everything. And we're doing just a great job and employee experience, and we make all the other ones that are already there look better. I see companies with one system of record per 1,000 employees and very consistently. And with us, you just take one portal approach to simplify the whole scenario for the employees, especially with a hybrid future work environment, work-from-home or work from the office, work somewhere in between, we own that. And CSM, I mean, look at the Disney example. The Holy Grail has always been direct-to-consumer where a great product company didn't have to split their money through different channels and different routes to market where they could just go direct to their consumer. Look at Disney, how they innovated with Disney+. I think that example, when you think about virtual agents, you think about machine learning and AI, a platform to run your operations that provides a work order and a work flow instantaneously where customer is struggle with an internet order. So they get a subscription, they went to customer and customer happy experience. And then finally, when I think about CSM, it's the hugest TAM. So we're in it to win it. And I think Disney+ is a perfect example of the bright future for the Now Platform. And finally, look at this, Kash, you know this very well, low code, no code edge application. Our customers are building applications in hours and a couple of days, deploying them to, in some cases, 1.5 million employees within two days. That's the kind of rapid prototyping innovation and development that has to be done, and the Now Platform gives them that. These are major transformations in the enterprise, and ServiceNow will be at the forefront of leading this initiative.
Kash Rangan: Crystal clear and compelling. Congratulations. Thank you.
Bill McDermott: Thank you so much, Kash.
Operator: The next question is from Walter Pritchard of Citi.
Walter Pritchard: Hi, thanks. I'm wondering on the ITSM side and ITSM Pro has been, I think, a success, but maybe we didn't anticipate as much as it's been. I'm wondering where you are in terms of the installed base moving over to ITSM Pro? And how much longer do you see that as a sort of tailwind that you've seen it so far? Thanks.
Bill McDermott: Thank you very much for the question, Walter. We're about 15% penetrated in ITSM Pro and more than eight out of 10 customers automatically choose it right out of the gates. So we still have the entire installed base to continue to spread our wings in. And what’s really great about ITSM Pro and all credit to CJ and our great engineering team and brining now all the machine learning, the AI, the operational excellence that comes under Platform and you start to get into the predictive world with business automation, with ServiceNow, so that is going to be a huge tailwind for a long time for us. What I really love about it is it opens up all the other conversations with the employee experience, customer service management, the edge applications and then even innovation on the Now Platform itself. So I believe you should feel very, very, very confident in ITSM Pro and the pipeline is soaring.
Walter Pritchard: Great. Thanks, guys.
Bill McDermott: Thank you, Walter.
Operator: The next question is from Brad Zelnick of Crédit Suisse.
Brad Zelnick: Great. Thank you very much and congrats on the strong quarter. Bill, I recall when you joined ServiceNow, you assured us there'd be no interruption, and you've delivered just that, even in the face of COVID. But we're now seeing a transition in sales leadership at the midpoint of the year. The timing seems a little unusual. And I just wanted to understand, how much of any of the billings timing that we're seeing from Q2, Q3 and Q4, might be related to any transition of roles? And what if anything might change in terms of go-to-market strategy with the new configuration? Thanks.
Bill McDermott: Brad, first of all, thank you very much for acknowledging that. I know a lot of people thought I was going to pull up the van with crews that I might have had in another company and start making big changes. I found a great management team here. John Donahoe did a great job; Frank Slootman before him and Fred Luddy built an unbelievable company, and I'm proud to stand on the shoulder of those giants. And as it relates to me personally with this team, I'm not making any changes even now. So David Schneider is a great guy, him and I have a wonderful friendship and he's going to be with me all the way to the end of this year. So after 35 years, nine at ServiceNow, he's had a stellar career, by the way. He's still living, but he really wants to spend time with his family. He has an eight and nine year-old and 35 years on the road has been a lot. And he told me when I first met him that this was something he was interested in. So please know that in a certain sense, we're actually simplifying ServiceNow. Because Kevin Haverty, who's now the Chief Revenue Officer, has been running the number to ServiceNow for six years, and he's the guy. So when you think about our sales, sales operations, the industry go-to-market, Kevin had it, he still has it, and all of his leaders are perfectly held in place. There's no change. The second thing with Lara, as you know, she runs strategy for us, a very accomplished person. I just want to give you maybe a little cheat too because sometimes when you run a strategy, you don't know everything about the person. This is a college basketball player for four years as a starter. So talk about competitive. She led, along with Kevin, the go-to-market for our company. She has 20 years experience with CXO level transformations, and she led our M&A events, and she's been my right-hand on so many strategic issues since I've been here. So now she gets to put the value chain together. So our services business, we align presale, we align sale, we align post sale. We align the ecosystem in a value motion to deliver extreme upside for our customers, and she really gets that with the bane background and her experience at ServiceNow. She, too, is a tried, true and proven leader that I was fortunate enough to get to work with when I came here. So no change. The only thing that's mildly different is at the end of the year, David is going to pursue his retirement, spend a little bit more time with his family. But in the meantime, he's right by my side. He'll be focused on sponsoring large customers and mentoring Kevin and Lara for anything that they need. And, obviously, our culture is on fire. Our Net Promoter Score with the customer satisfaction, loyalty and our employee satisfaction is an all-time high. Please know, Brad, there is really no disruption here whatsoever.
Brad Zelnick: Awesome, Bill.
Gina Mastantuono: And I would just add also that the management changes have no impact on invoicing or billings, right? Our billings guide for the full year is strong, and we remain highly confident in our ability to achieve it.
Brad Zelnick: Thank you, Gina. Thank you, Bill. That’s it for me.
Bill McDermott: Thanks a lot, Brad.
Gina Mastantuono: Thanks, Brad.
Operator: The next question is from Sterling Auty.
Sterling Auty: Yes. Thanks. Hi, guys. I wondered if you could comment in terms of what you experienced geographically? And specifically, looking at the U.S. results, they look more flattish versus the growth in EMEA, was there any driving factor, whether it's government contribution or others that you would point to?
Gina Mastantuono: Yes. So we had good growth in the Americas. We had good growth in EMEA as well. We were really pleased with our results for Q2, really throughout the region. Really, they all achieved our expectations, which really helped drive the overperformance for all of Q2.
Sterling Auty: Great. Thank you.
Bill McDermott: And, Sterling, one thing that you may want to know is, EMEA just broke through the $1 billion run rate threshold, which is an exciting achievement. And getting Paul Smith in there to run EMEA, which is a proven enterprise software executive for many, many years in the enterprise space and him leaving a pretty well-known brand to come here, I think, is setting a statement. So we're rock-solid in every single region. We're rock-solid at the top leadership level, and there's nothing but trusted ServiceNow with our customers and our people.
Sterling Auty: Makes sense. Thank you.
Bill McDermott: Thanks a lot. Appreciate it.
Operator: Your next question is from Alex Zukin of RBC Capital Markets.
Alex Zukin: Hey, guys. Thanks for taking my question and congratulations on another great quarter. Just a quick one for me. Bill, it does seem like the core buyer in the IT department seems like they've gotten adrenaline shot here from the COVID crisis. I wanted to ask, if you think about your playbook in this environment versus maybe 90 days ago, what's the playbook to take incremental share? And on the pipeline, if you could comment, typically on the federal vertical, what you're seeing there and in the quarter? And then, apologies for the multi-part question, but could you just help us bridge the growth that you're putting up in kind of current RPO and current RPO bookings versus the adjusted subscription billings growth?
Bill McDermott: Sure, sure. I'll let Gina give you the RPO numbers right. But look, the reality is this. The CEOs of enterprises around the world are going to be doubling down on their investment in digital transformation. They recognized in a pre-COVID world that you had to transform, but in a post-COVID world, you have to be digital to survive. I mean just think about it. Your employees have to actually work from anywhere now, if not all the way from home for quite a while. So digital transformation has hit everybody home, nine out of 10 CEOs have a digital-first strategy, yet only four out of those 10 say I'm ready for digital disruption. In other words, if somebody comes out their company with a digital playbook that's better than theirs. They don't feel ready for that. So this is playing right into the hand of ServiceNow. What's interesting is the ITSM backbone to really be the thought leader in IT in that strategic authority; it carries over to the employee experience. It carries over to the customer service management side, and also in edge applications. Take a great company like Lowe's. In the heart of COVID, they had to basically -- they deal with leave requests with their employees, how do I build an application in less than 96 hours and deploy it to 323,000 people? Well, you do it on a low-code platform like the Now Platform and you get it out there. So you're seeing everything come together now to ServiceNow, because we're a platform company. And I think that's the big breakthrough that all of our shareholders should realize because that platform now, if you talk to Microsoft, it's one of the top six strategic platforms for Microsoft. If you talk to any one of the big six systems integrators, it's one of their top platforms. Now people are realizing, my goodness, the 20th century architectures are too slow in these digital-first environments. How do I get fast? How do I get speed? And that's where the workflow revolution is hitting its stride, because behind every great employee or customer experience is a great workflow. And if you listen to my comments today, it's also security. Because now we have to take the worker and match the IT badge with their rights and privileges and their safety protocols around coming back to the office or having to be quarantine, or allowing their teammates to understand the dynamics of who's in and who's out. This is also happening in professional sports where we're highly involved as well. So all of these forces and more are saying platform companies win in a digital transformation environment, especially if they're born in the cloud.
Gina Mastantuono: And on your question with respect to the RPO, and thank you for noticing such strong growth in our -- both our RPO and our current RPO. The difference in the billings schedule, right, so invoicing schedule will impact billings, but it will not impact our RPO. So this goes back to the comment that I made earlier, that the changes in the invoicing and billing are just timing related and do not impact our revenue expectations or our business performance. And so this is why billings is not always the best indicator. It's just timing and the core of our business remains ever strong.
Bill McDermott: So please, admin, not content and business, okay? Admin. We added handled billings and revenue are fine, margin, free cash flow, growth, everything where you wanted it.
Alex Zukin: Thank you guys.
Bill McDermott: Thank you very much.
Gina Mastantuono: Thanks, Alex.
Operator: Your next question is from Gregg Moskowitz, Mizuho Securities.
Gregg Moskowitz: Hi, guys. Thanks for taking the question and congrats as well on a very good quarter. So it was impressive to see the mix of business from Now Platform on another rise to 13% of total this quarter. And Bill, you talked about the power of low-code, no-code. Are you seeing broader-based adoption of the Now Platform? Or was it significantly influenced by those eight figure deals? I'm just trying to get a sense of whether you're seeing clear signs of growing trend here. Thanks.
Bill McDermott: It's absolutely a growing trend. If you – one of the examples I gave was the U.S. state department. Think about this, they use the Now Platform to create a dozen applications in three weeks tracking COVID for every country around the world. If you think about customers like Petrobras, a global energy conglomerate and Brazil's largest company, by the way. They are using the Now Platform to lead their digital transformation strategy. So it is clear that this idea of internal business process on an end-to-end basis has moved from a system of record idea because they realize the data gets trapped in a solo and a silo to streamlining things in a workflow. So this is how people are looking at product development now. This is how they're looking at process innovation. This is how they're thinking about reducing time from discovery all the way through to actually getting products and services to market. So I really believe we're onto something here, and we're at the forefront of the early days of the workflow revolution.
Gina Mastantuono: Yes. And I would just add to that, the launch of our state workplace applications. Goodness. This product was designed and launched in just a matter of weeks. And in the quarter, we saw over 30 deals closed. Now that's product innovation, incredible sales execution and quick time to value-added best. So again, really, really strong traction here.
Bill McDermott: And if I could build on that, Gina, is absolutely right. I want you to know something. We referenced a few names in my comments today. And in all cases, we went against some other people out there that have heavily marketed their brands and their offerings. And why did the customers choose us? They said because you actually have a real product. It's not a prototype. It's not an idea. It's a product. And incidentally, when Uber actually implemented it in less than two weeks, they were stunned and I was very proud to have them talk about that success at our Board meeting the other day. So what you're seeing now is people realizing the difference between marketing and prototypes versus real products and scale.
Gregg Moskowitz: Very helpful. Thanks for the color guys.
Gina Mastantuono: Thank you.
Operator: The next question is from Phil Winslow of Wells Fargo.
Phil Winslow: Hey, guys. Thanks for taking my question and congrats on a great quarter. Two questions for Bill. Bill, obviously, another strong quarter in sales and marketing hiring. Wonder if you could provide us some color on just what you're seeing in terms of just pipeline build from some of these new hires? And then what is sort of the – just that strong hiring mean in terms of your confidence for the second half and next year? And then just one follow-up to that.
Bill McDermott: Yes, Phil. It's a great question. What we have done, which is very interesting. If you look at it, we've actually increased the size of the workforce 20%, and we powered right through the first half of the year in the midst of a COVID environment. So we have the feet on the street. We have everyone through shark camp, which is what we call our training camp here. And we also have 323 summer interns that are early adopters to the ServiceNow brands who want to join the company. So we're hiring young, brilliant inspired people to be part of the movement. And right now, we have enough feet on the street to actually achieve our goals, and we're looking at everything, Gina and I, when we go through the math, a year in advance to make sure we have the bandwidth. We're also making sure we invest properly in our engineering strength. And I want to basically say, between engineering and go-to-market, there's nobody that can do it any better than us. So we really are looking at our own ideas, our own ability to invent and then having the capacity on the street and then the marketing savvy and the brand reach to get to people, not just in the Americas but all around the world to get them on the ServiceNow train. So we're ready, and we're going to keep building the machine.
Gina Mastantuono: And I would just add to that. With respect to our pipeline, our coverage ratio today is better than at the same time this time last year. And so from a confidence in our guide for the back half, as I said in my prepared remarks and Bill did as well, we're highly confident in our guide and our ability to execute in the back half of the year.
Phil Winslow: Got it. And then just a follow up for you in terms of just the HR. Obviously, you called out a lot of wins in terms of return to work. And obviously, our checks have said a similar thing. How are you thinking about how the return to work impacted the Q2 results, but also the second half? Not just simply, sort of, as an add-on to existing HR service delivery customers, but has a potential to actually drive HR service delivery business?
Bill McDermott: I think the idea there is, the 550 downloads, the 30 wins that Gina talked, proving that we are head over heels better than the offerings and the alternative scenario with other people in the market. We know that. So now it's just a question of how much upside can we get in the back end of the year. It didn’t materially impact this quarter. Its upside, but it's not material. But in the future, I think if you look at employee experience as a holistic part of our business model. You take the core employee experience and now the return to work suite, and there'll always to be the next new innovation on top. But what I'm impressed with, Phil, is every two weeks, we have new releases that keep up with the ever-changing market dynamic. There's two things that are going on here that I really want you to register. Number one, the architecture that others have cannot innovate in two-week cycles and deploy with customers and get big companies running within – and fully deployed within two weeks. Architecturally, through various things of M&A and other things, they don’t have the clean platform that we have. And secondly, our engineering team, because the Now Platform is so simple, it can iterate on this platform so quickly. So we actually got the whole suite out the door in two weeks. The emergency response apps in March were done in three days, deployed in a week. So that is the difference, the time to market. And so, I would like the shareholders to understand that, that is upside, but not required to deliver the dream that Gina and I laid out.
Gina Mastantuono: And I would just add also that our legacy HR is performing extremely well as well. At the end of the day, employee experience is more relevant than ever. And the C-suite budgets are shifting really to drive better employee experiences. We closed eight deals over $1 million in HR in the quarter and HR was included in 14 of the top 20 deals. We now have over 750 customers. And Bill spoke about the Commonwealth of Pennsylvania and Goldman Sachs in his prepared remarks. But another win we're proud of is with a multinational pharmaceutical company, who really should -- now to consolidate all of their systems into one portal, to reduce the complexity, because employee drives more self-service and really streamline and automate broken processes. So you're absolutely right. HR is definitely on the forefront of all C-suite executives today.
Phil Winslow: Great. Thanks.
Bill McDermott: Thank you, Phil.
Operator: And your next question is from Chris Merwin.
Chris Merwin: Hi. Thanks so much for taking the question. I wanted to ask about the software asset management product. I imagine that's particularly relevant these days with many companies burdened with a lot of tech debt and looking to digitally transform. So can you talk about any, I guess, any updates there and how significant a contributor that might be to ACV going forward? Thank you.
Bill McDermott: Sure, sure. Thank you very much for the question. I appreciate it, Chris. As you know, the environment is right for this. There are enormous opportunities with underutilized software assets, lots of shelf ware. And obviously, this also is true in the hardware business and our product addresses both of that. What I would say to you is the rating that I gave you in my remarks; the independent research companies now have claimed us as a leader in the space. And the pipeline in this area is extremely good. Customers have activated us in all the scenarios that I have personally been involved in, they are looking at us in multiple ways. So typically, the software asset management is coupled with ITSM Pro and some other pieces, but it clearly will grow faster in the second half and beyond because of the leg work that we did in the first half, especially now bringing hardware asset management to market, so we can take a holistic look at both the hardware and the software, and both of those products have been raised by the independent researchers as a leader.
Chris Merwin: Great. Thanks so much.
Bill McDermott: Thank you.
Operator: Your next question is from Tom [Technical Difficulty]
Unidentified Analyst: Hi. Thank you for taking my question. I really appreciate it. Great job on a successful quarter. Bill, I was hoping you could just take a second and address the security product in a little bit more detail. Certainly seems like that is coming up right in the middle of a lot of your strategic deals right now, and security of course is right at the heart of digital transformation. Talk a little bit more about how that's progressing in the pipeline? Who you're facing off against competitively there, and how you're trying to structure these deals? What are the typical sizes of the security deals right now? Thanks.
Bill McDermott: Yeah, sure, of course. Thank you very much for the question, I definitely appreciate it. In terms of our quarter, if you look at it, we had our largest security quarter ever for the company. Security was included in 15 of the top 20 deals. I spoke about Fiserv and JPMorgan, which incidentally, I can speak to with authorities since I was the executive sponsor for both of those great businesses. Another example would be a very large defense contractor that worked with us, they saw a tremendous value in an automated approach to security risk and vulnerability response and all on the Now Platform. So I think what you should take away from this is we don't go in there competing with people. We don't actually compete with anybody. We don't talk badly about system of record. We have no problem with any brands that are in market or any particular security company. What they seem to like the most is as they think about streamlining and automating their workflow, they like to have all of it on a Now Platform. So these are very smooth attach rate deals for us, because it's all in the workflow. And the companies like JPMorgan, for example, as you know, have beautifully run company's extraordinary IT talent, and they really like to combine everything that they do in the workflow itself. One example of a company that I was personally involved in it's as simple as this, an employee comes into a building, they have a batch. That badge is best understood by the ITSM Pro. Anything concerning that employee, for example, their rights and privileges, their office access, their computer access, we know everything about them. But also, we know everything about vulnerabilities and responses and attacks that might be coming into the company as well. And as you know, early detection is a whole key to solving these security problems before they get out of control. All of this is mastered in the Now Platform. So think of us as a platform company, think of this as workflow and everything as a business process or workflow in these companies has to be highly secure. And including the return to workplace that Gina was just talking about, I mean, half of the competitive advantage that we bring is knowing everything about the talent, their rights, privileges and what they should and shouldn't be doing. And that has been a big differentiator. That's why I think the IT backbone of our platform is a huge advantage.
Unidentified Analyst: Yes, really helpful. Thank you, Bill. Appreciate it.
Bill McDermott: Thank you so much.
Operator: And we have time for one more question. Your last question is from Sarah Hindlian-Bowler of Macquarie Capital.
Sarah Hindlian-Bowler: Hi, there. Thank you for squeezing me in. I appreciate it. Good to hear your voices Bill and Gina and congrats on another great quarter. The CRPo growth is really something to marvel at. Bill, I think one question that would be really helpful just to kind of hear your perspective on is, if you could look at your sales – your sales organization, your pipeline, your closure rates, do you feel better or worse than you did three months ago? And why?
Bill McDermott: I feel much better. I didn't feel bad than I told you that then and promises made, promises kept, but I feel even better now. And the reason why is, I think, people have come to know that the COVID environment is a reality. And this reality is not going away anytime soon, and businesses still have to run. Governments still have to serve their citizens, our partners still have to acclimate in this climate and meet the ever-changing and diverse needs of digital transformation for our customers. So digital business is moving forward. And the digital event we call Knowledge 2020 was double the attendance of the prior year. And I think that tells you that people are looking for content. They're looking for solutions. They need us now more than they ever did before. The other thing that I find very, very interesting is – can you imagine this, Sarah, being in four continents in a day on Zoom?
Sarah Hindlian-Bowler: No, no I can’t.
Bill McDermott: Right. We have defied the logic of time and travel because of these modern digital technologies. So as a productive person, I think that all leaders would probably tell you the same thing. If you interviewed 100 CEOs in the business council, I think, 98 would tell you they can be in more places in more time zones than they ever could have imagined in the physical world. So I think the whole world is adopting to this. I'll give you another example. If you look at our engineering team, they have written more code, because we have all the analytics on the code and the productivity for engineer, and it's obviously good code. Everything works here. And then, in terms of the customers using our platform, all of the use rates are sky high, higher than ever before. So this is just telling me that people have adjusted. The shock of March has now become a norm, and business is going on. And that's evident in the pipeline, its evident in the linearity. It's evident in all of the communications I've had with our sales leadership, our industry leadership, our various go-to-market teams, what we're doing in marketing, what we're doing in product marketing. I mean people are amped up here. I mean, my biggest challenge here is telling them, hey, you guys got to take an afternoon off, go take a walk, relax. Because they're really just going full speed. So I believe you should feel very confident in ServiceNow today and very confident in the second half outlook and extremely confident in an inspired workforce to get the job done for our customers, so they can serve their customers.
Sarah Hindlian-Bowler: Thank you, Bill. That was really helpful. Gina, I’ll follow up with you on our call back.
Gina Mastantuono: All right, Sarah.
Bill McDermott: Thanks a lot, Sarah.
Gina Mastantuono: Good to hear your voice as well. Thank you.
Bill McDermott: Be well.
Sarah Hindlian-Bowler: Thank you
Bill McDermott: Thank you, Sarah.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.